Operator: Welcome to the TreeHouse Foods Second Quarter 2018 Conference Call. This call is being recorded. At this time, you will turn the call over to TreeHouse Foods for the reading of the Safe Harbor statement.
Unverified Participant: Good morning. Before we get started, I would like to point out that we've posted the accompanying slides for our call today on our website at treehousefoods.com/investor-relations. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts and can generally be identified by the use of words such as guidance, may, should, could, expects, seeks to, anticipates, plans, believes, estimates, approximately, nearly, intends, predicts, projects, potential, promises, or continue, or the negative of such terms and other comparable terminology. These statements are only predictions. The outcome of the events described in these forward-looking statements is subject to known and unknown risks, uncertainties and other factors that may cause the company or its industry's actual results, levels of activity, performance or achievements to be materially different from any future results, levels of activity, performance or achievement expressed or implied by these forward-looking statements. TreeHouse's Form 10-K for the period ending December 31, 2017, and other filings with the SEC discuss some of the risk factors that could contribute to these differences. You are cautioned not to unduly rely on such forward-looking statements which speak only as of the date made when evaluating the information presented during this conference call. The company expressly disclaims any obligation or undertaking to disseminate any updates, revisions to any forward-looking statement contained herein, to reflect any change in expectations with regard thereto, or any other change in events, conditions or circumstances on which any statement is based. For purpose of our discussion today, statements such as Private Brands or the former Private Brands business refer to the TreeHouse Private Brands business. Private label on the other hand, refers to the customer and corporate brand industry. I'd now like to turn the call over to the CEO and President, Steve Oakland.
Steven Oakland - TreeHouse Foods, Inc.: Good morning, everyone and thank you for joining us. I am pleased to be with you today sharing a quarter of good results as we posted another period delivering upon our internal objectives and external commitments. Since our first quarter call, I've had the pleasure of meeting many of you face-to-face in New York, and since then I've spent a great deal of time on the road, listening to our customers and getting to know our people throughout our organization through townhalls, plant visits and divisional reviews with the leadership teams and the general managers. I've taken time to do a deep dive and I've come away even more enthusiastic about the opportunities that lie ahead. As I think about how we frame the opportunities, we all know that the consumer packaged goods industry is changing and consolidating quickly. On a macro level, retailers today are facing competitive pressures and disruptions on many fronts. Growth from limited assortment and hard discounters, a shift to cleaner labels, growth within natural and organic, and the rise of e-commerce and click and collect. The good news in all of this is that private available has an important role to play for our customers in all of these disruptions. Amid this evolution, I'm confident that TreeHouse has a long runway for growth. It's clear that the retailers are seeking to build their own brands to drive traffic and improve profitability. We recognize that outstanding customer service has to be the foundation of the relationship with our customers. In fact customer service is as critical to the retailer partnership as cost and quality. To be frank, we haven't consistently delivered on our service commitments over the last two years, so that's an area where we have great focus, and we are seeing improvement, in some cases, significant improvement. This work on service is key to our ability to take full advantage of the growth opportunity that private label presents. Delivering the highest levels of customer service is essential to taking our relationship with the retailer to a more strategic level. Accordingly, it's absolutely critical to understand that private label will play a different role with each retailer based on how they reach their consumers. In the most fundamental of terms, they offer value, or they offer experience. As we partner with our customers and better understand their strategies, we can apply the right resources and align ourselves to help each of them achieve their goals. As we improve service levels and deepen our relationships with our key customers, we can fully leverage our leadership position in private label and then unleash the power of our scale. It's very exciting to me personally to think about how we capture that opportunity at TreeHouse. The execution of the TreeHouse 2020 plan is key to our long-term competitiveness, having sat with our teams and our division leadership I know there is a lot of heavy lifting taking place. We're asking a lot of our people. But it's quarters like these where we get to see the fruits of our efforts hitting the numbers, and see the progress flow through the P&L. This energizes our teams and they are on board and totally committed to doing the hard work to get the job done. We have also reinvigorated our strategic planning process across the whole company with a fresh and deeper look at the businesses by category. Recently we announced the sale of the McCann's Irish Oatmeal business to B&G foods, which is a small step toward getting our organization focused and pointed in the right direction. So as I mentioned on the last call, we are evaluating everything we do, and changes will be required. I'm not yet ready to share those details today, but I am looking forward to bringing you more detail on our strategy before the end of this year. Before I turn it over to Matthew for the financial review, let me give you a quick update on our previously announced cost reduction initiatives. TreeHouse 2020, our company-wide restructuring effort to lower our cost structure through programs such as simplification, plant consolidation, and the rollout of our TreeHouse Management Operating Structure or TMOS remains on track as noted in slide 6. We recently announced the closure of our Omaha office which is slated for the first quarter of 2019. In June we completed smaller office consolidations in Pittsburg and St. Paul. These shouldn't be much of a surprise given how our company has evolved. Addressing the fragmentation of our operations presents opportunities for consolidation which will better enable us to operate as one TreeHouse. Consolidation facilitates greater alignment around our mission and our culture. It provides better career development opportunities for our people and will certainly improve operating efficiency and cost structure. Turning to Structure to Win on slide 7, which is our specific program to focus and align our SG&A expenses and our division structures in order to better serve the customer. Much of the SG&A progress you'll see in the numbers this quarter is a direct result of this effort. We are largely complete with this program. Although we expect to make this a foundational part of a continuous improvement culture. What we've tried to do on this slide is to give you a visual sense of how our organization has changed. We're streamlining the decision making process and improving our cross functional strategic customer teams. On the general manager front, we've broaden their roles and gone from 22 GMs to 14. This is where the rubber meets the road. We are building capabilities and professional entrepreneurs, leaders for our future. Now on the numbers which is really why we're here today. I'm pleased to discuss another quarter of delivering on our guidance. Both revenue and EPS were above our guidance range in the second quarter, and we saw sequential improvement from our divisions. I'm encouraged by the progress around TreeHouse 2020 to become operationally excellent and align our capacity with the marketplace opportunities. I want to thank our teams for embracing the Structure to Win changes. We ran faster and delivered our strategic savings goals ahead of the original timing. These programs are allowing us to harness our capabilities across the operations and across our employee base. And I personally believe that we are in the early stages of unleashing the opportunities that the growth inherent in the private label space affords us. I'm confident that we can continue to improve our execution as we move forward and deliver our commitments for the balance of this year. With that, let me turn it over to Matthew to provide you with the details.
Matthew J. Foulston - TreeHouse Foods, Inc.: Thank you, Steve. Good morning, everyone, and thank you for joining our call today. I'll begin on slide 10 with the consolidated Q2 results. On the top line, sales of $1.46 billion were slightly ahead of our guidance range of $1.3 billion to $1.4 billion for the quarter. Second quarter adjusted EBIT margin of 3.8% was one point below the prior year, but represents a sequential improvement of one point from the first quarter. The sequential improvement was a result of pricing catching up to commodities and Structure to Win savings kicking in. Second quarter adjusted EPS of $0.37 was $0.07 better than the top end of our Q2 guidance range. This includes a lower than anticipated tax rate which was a $0.04 benefit in the quarter, due to certain state rule changes in the quarter and the impact of a higher stock price on the tax impact of stock-compensation expense. Overall, we're encouraged by our progress. That said, there is plenty of hard work ahead as results are still below our prior year and where we need to be. Turning now to slide 11 and the revenue drivers in the quarter. Consolidated revenue declined $66 million or 4.4% versus last year. Of that decline, about $63 million was driven by the SKU rationalization, and another $17 million was related to the Soup and Infant Feeding divestiture last May. Excluding these two items, our top line grew 0.9% compared to last year. Volume and mix were slightly negative across nearly every division. In Beverages, we are not yet up to full production levels in the non-dairy creamer business, but we did see some pull forward of sales from Q3 into Q2 in single-serve beverages. In addition, as we discussed last quarter, we believe we were one of the first to market with our pricing for higher commodity and freight costs and margin management continues to be a priority for us which has lead to the exit of some less attractive business. Moving on the pricing, we saw pricing flow through as expected in Q2 up 1.3% on a consolidated basis. The exception was in Beverages, where the single-serve market remains very competitive. Turning now to slide 12 and the key EPS drivers in the quarter, adjusted EPS was down $0.14 compared to the prior year. Within this, division DOI declined $0.34, and was partially offset by $0.16 of SG&A and a $0.05 tax benefit. Excluding the net negative impact of resetting the bonus and lower amortization, the SG&A improvement was actually $0.20. Slide 13 gives you a sense for the division DOI drivers on a dollar millions bases. Division DOI of $146 million in the second quarter was down $27 million versus prior year, mostly due to volume, mix and freight. As I noted earlier, pricing net of commodities turned slightly positive in the second quarter. Rising freight costs continue to be a challenge, although largely in line with our expectations. You'll notice on the slide that operations had a negative contribution to the quarter. There's very strong performance here that is being masked by three factors. The biggest near-term operating challenge here has been the prolonged impact of the Pecatonica strike on the Beverages division, which is showing up in both volume and mix and operations. As a reminder, the strike at the Pecatonica non-dairy creamer plant began last November and concluded in April. Our plans to get the plant back up to full production assumed about a $0.06 drag in the second quarter. Unfortunately, that restart has not happened as quickly as we would like. The low unemployment rate and competitive market conditions for talent in this area have made it difficult to hire back some of the skilled labor, so it is taking longer and costing us more than we originally thought. We expect this to be a drag on earnings in Q3 and, to a lesser extent, in Q4. Secondly, within the Snacks business, we've had challenges, particularly in bars where promotional activity and new-business wins have pressured our cost structure in the near term as we scramble to meet the increased demand. Finally, lower volumes across the entire business have resulted in absorption challenges, which take us time to work through. Divisional SG&A improved year-over-year by $12 million as we implemented the Structure to Win initiatives and have seen tighter expense control across the business. On slide 14, we've given you an indication of the divisional DOI performance by key driver. A couple of things I'd mentioned here without going into line item detail. Clearly, you can see the significant negative impact within Beverages, as we work to get our non-dairy creamer business back to full production. On freight, while driver shortages and rising rates don't look to abate any time soon, we're actually pretty pleased with the progress we've made. Yes, freight costs are a headwind, but, as we discussed with you last quarter, we've taken steps to minimize that impact. Specifically, we completed a carrier RFP and have improved and diversified our network of carriers such that we have significantly reduced the need to go into the spot market for our transportation needs. In addition, the steps we took earlier this year to functionalize our manufacturing and lockdown production schedules a week in advance has created greater shipping stability. And then lastly, while I don't want to minimize the fact that our results are still below last year, on a sequential basis, we are moving in the right direction. In fact, the second half EPS this year is expected to be within pennies of last year, as we see pricing fully offset commodities and freight, and SG&A savings continue to flow through. Next, let's turn to the balance sheet. On slide 15, we've provided an update to net debt and our progress around working capital. We ended the quarter with $2.3 billion in net debt, down over $600 million since we closed the Private Brands acquisition. Compared to the end of 2017, our net working capital has improved by $150 million, but keep in mind that in anticipation of our Q4 sales peak, driven by normal seasonality, we expect to end Q3 with increased inventory. Many of you saw our announcement in early June around the amendment to our credit agreement leverage ratio, broadly defined as net debt divided by trailing 12 month EBITDA. The amendment allows for an elevated leverage ratio over the next six quarters and then it gradually steps back down to four times by Q4 of 2019. In return, our credit is now secured, and by the terms of the agreement will return to unsecured status at the end of 2019. What you should take away from that amendment is that, one, we now have greater operational flexibility to potentially consider accelerating our efforts around TreeHouse 2020, and two, as Steve works through his efforts around strategy, initiatives and portfolio evaluation, the amendment gives us greater flexibility to move forward, despite being in a period of peak cash restructuring spend for Structure to Win and TreeHouse 2020. We finished the second quarter with a leverage ratio, as calculated per our covenants, of 3.84 times compared to the 5.25 times limit. Let's now turn the discussion to our outlook for the balance of 2018, starting with slides 16 and 17. With the first half of the year behind us, we have reaffirmed and tightened our full-year guidance range to $2.05 to $2.35 in adjusted earnings per share. Our guidance does assume a few puts and takes. First, on the top line, we will continue to feel the impact of SKU rationalization. As I mentioned earlier in my remarks around the second quarter results, we did see some volume softness across most of our divisions compared to the prior year, and we expect that trend to accelerate somewhat as we get into the back half of the year. We were one of the first to market and took a lot of commodity and freight-related pricing earlier on this year. We've also continued to focus on margin management. We do expect our year-over-year volume comps to be negative in the back half of the year, with it being most noticeable in Snacks where we've lost a chunk of low margin business that will have a meaningful top-line impact, as well as in Meals. As a result, we are lowering our full year revenue estimate by about $100 million to $5.8 billion to $6 billion. As I mentioned, we're holding our earnings guidance. Working our way down the income statement, as you saw, the pricing to offset commodities that was put in place earlier this year, is now fully offsetting both commodity and freight inflation. A number of you have asked about the impact of tariffs, not just Canada, but more broadly the global impact on our business. At this point, there are some knowns and some unknowns. With regard to Canadian tariffs, our teams immediately went to work to get the necessary pricing for products on that list, such as pourable and spoonable dressings. While there will be a Q3 lag of a few pennies on getting that pricing reflected, we expect to fully recover the impact in Q4 such that the net impact of the year is negligible. Longer term, however, it remains to be seen the effect Chinese tariffs will have on more than just aluminum and steel. In addition, the impact on global agricultural flows, and the potential impact on commodities here in the U.S. are difficult to predict. For example, the 25% Chinese tariff on soybeans earlier this year has already put down more pressure on domestic soybean prices. I talked at length earlier about Pecatonica. Our assumption for the back half of the year now includes further drag from the startup costs, but we anticipate getting the plant fully back to run rate by the end of the year. And finally, we expect the contribution from Structure to Win in 2018 will finish ahead of our original plans of $30 million in savings. Our exit run rate continues to be approximately $55 million in annual savings. We've provided you with the additional line items for the year on slide 17 to reflect a tighter EPS guidance range of $2.05 to $2.35. This is broadly in line with our original estimates from February, with some progress on interest expense and a slightly lower full year tax rate, given the state tax changes this quarter. On slide 18, we've provided an update to our full year cash flow guidance. We anticipate that cash generation net of restructuring, and after the completion of our $50 million in share repurchase, in accordance with the 10b5 plan, we'll be in the neighborhood of $120 million to $150 million. Importantly, we continue to work toward fully offsetting our investment in restructuring the business with our liquidity initiatives. Looking to the third quarter on slides 19 and 20, we're guiding $1.39 billion to $1.45 billion in sales, and $0.50 to $0.60 in adjusted earnings per share. On the top line, we won't lap the impact of the SKU rationalization until early in 2019, and I talked earlier about the softer volume forecast related to some of the lost business that we've reflected here. Pricing is anticipated to fully offset commodities and freight, and the impact of TreeHouse 2020 and Structure to Win savings will more than offset the operational drag from Pecatonica and the timing delay related to Canadian tariffs. Interest expense for the third quarter is expected to be between $27 million and $29 million. I'm not going to read through slide 21, but to sum it all up, we're pleased to have delivered another quarter meeting our financial commitments, and we continue to work diligently towards improving the overall cost structure of our business. I believe our third quarter and full year guidance ranges reflect a very realistic and pragmatic view of how the balance of the year will play out. With that, let me now turn it back over to Steve for his closing comments.
Steven Oakland - TreeHouse Foods, Inc.: Thanks, Matthew. Let me leave you with a couple of thoughts about the balance of the year and the guidance that Matthew just took you through before opening the call up to your questions. We have a lot going on as an organization. The nature, the amount, and the pace of change are critical factors we are balancing as we make long-term investments in our capabilities and our platform from which we will grow. Let me give you a few examples. First, margin management. Matthew first talked about this last year in conjunction with TreeHouse 2020. While we're still honing our pricing expertise throughout the organization, it is already allowing us to be more proactive on the front end. You saw us as one of the first food companies in market with pricing for commodity and freight inflation late last year, and we saw good success. As Matthew mentioned, we are also very much on top of the Canadian tariff impact for the back half of this year, and we're pleased with the results in both of these areas. Secondly, you are going to see some changes to the top line of the business, as we re-craft our portfolio. Some of the second half sales softness that Matthew discussed are driven by market forces, and some of the changes are designed to position our platform for future, more profitable growth. We've factored this into our guidance for the back half of this year, and we'll incorporate when we provide our 2019 guidance next February. As we move forward, we will be purposeful and profitable about the growth that we take on. Finally, in closing, let me just say that I feel very good about reaffirming the midpoint and tightening the guidance range for 2018. I'm confident in those statements because our organization is much more mature than it was a year ago. Our five division structure has now been in place for the last 19 months. Our forecasting abilities and capabilities have improved significantly. And our business visibility continues to improve, as our IT integration and consolidation projects are moving ahead quickly. 100% of our plants are targeted to be on SAP order to cash, and six ERP platforms are scheduled to be eliminated by the end of 2018. The result is tighter communications across a streamlined organization, and better forecasting skills and processes to support our TreeHouse of the future. I continue to be excited about being part of the next phase of growth of this wonderful organization. We spent a lot of time over the last year talking to you about cost structure and the necessity of getting that right. And while that work continues, the challenges I look forward is to shift the balance of our discussion and share more with you around our opportunities for organic growth and how we're investing in our future. I look forward to coming back to you later this year to bring you more detail around our strategy for delivering long-term shareholder value. With that, let me open the call up to your Q&A.
Operator: Thank you. We'll take our first question from David Driscoll with Citi.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Thank you and good morning.
Steven Oakland - TreeHouse Foods, Inc.: Good morning, David.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: I have two questions, one on pricing and then one on the fourth quarter. On pricing, the third quarter on slide 20, pricing seems to be a material acceleration over the first half. Can you guys just give us a bit more color? Second quarter pricing, I think, came in at 1.3%. Is the third quarter pricing locked in with your customers, or is there still pricing that you need to secure? And basically, I'm just trying to get a sense of how much risk do we have on this pricing recovery to cover these commodities and freight inflation? And then if I can follow up on the fourth quarter in a moment, I would appreciate it.
Matthew J. Foulston - TreeHouse Foods, Inc.: Yeah, let me – morning, David, it's Matthew. Let me take the first stab at the pricing question. We have literally all of this pricing locked in, and almost all of it flowing through the P&L, so we're very, very confident with the Q3 guide around pricing, and we're very pleased that it's going to flip from just covering commodities to effectively covering commodities and freight. I would draw your attention to the comparable period back in 2017 which is where we really first started getting upside-down on commodities. You'll remember, I think it was in Snacks where we had some inflation in nut pricing that we just didn't have the ability to cover. So we're also lapping a comparable period that's an easy beat.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: I really appreciate that. On the fourth quarter, I think the implied guidance because you gave third quarter guidance, the implied EPS guidance is about $1.0 to $1.20, and I'd just like to understand the implications of the fourth quarter run rate on a 2019, and just going forward. In my opinion we would seem to be a quite material number and very different from any of the other quarters in 2018 and the fourth quarter, I believe, it should really inform investors' views as to what the earnings power of the company is in 2019 at least. I know there is more to go with the program 2020, but I'd just like to get your thoughts on the fourth quarter, and then what it means for the future.
Matthew J. Foulston - TreeHouse Foods, Inc.: Yeah, I think – why don't I take a stab at that as well, and Steve can jump in. I think we've always said that this year is a year of two halves. The first half was going to be spent catching up on this pricing, and that's been a tough fight for our guys out in the field, but we're already thrilled with what they've done. The second piece was that we said SG&A was going to grow as we went through the first half, and we'd have (31:55-3202) where we need to be to position for the back end of the year. So I would say you got to be careful about taking Q4 and multiple it by four (32:14) because we do have this seasonality in this business and it really (32:18) categories, single-serve beverages in particular with the holiday stuff. So I wouldn't take that and multiply it by four, but if you think of the things that are driving the profitability and the building blocks we've put in place, we feel really good about the strength of that Q4 and its representative ability of where the business is.
Steven Oakland - TreeHouse Foods, Inc.: Yeah, the only thing that I would add David is that the 2020 project, we will be in 13 plants by the end of this year. We have 50. And so that should be a gift that keeps giving. It's a lot of work. And we'll start to roll out phase 2 and phase 3, those processes, as you know, from other major food companies. Those processes take time but deliver results over time. So I would expect 2020 to continue to pay dividends each year (33:11). I would expect the SG&A to be pretty much set, and then it will (33:17) to pivot this thing over next year, from a cost story to a growth story.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Thank you.
Operator: And our next question comes from Jonathan Feeney with Consumer Edge.
Jonathan Feeney - Consumer Edge Research LLC: Good morning. Thank you very much.
Steven Oakland - TreeHouse Foods, Inc.: Hi, Jon.
Jonathan Feeney - Consumer Edge Research LLC: Just one question. Thanks for taking my question. Just one question I had. So when I look at the total addressable market here, I mean, private label is on fire. You looked at scanners – I mean I may be cutting some of your categories wrong, but looks like it's pretty close to double-digit growth of sell-through in private label and I don't get your channels in there. But clearly, there is some as you rationalize customers and SKUs, there's some share loss. Could you comment on who is doing business broadly speaking - industry capacity utilization, and maybe when we reach a point where – I mean, that TreeHouse can keep up with this rapid growth? Thank you.
Steven Oakland - TreeHouse Foods, Inc.: Sure, Jonathan (34:43), and Matthew can jump in. That is in fact what – as we talk about strategy the devil is in the details by category. We've a couple of categories that we sell literally (34:56) package we can make, right. And we are (35:00) investing in those. Things like Protenergy, things like (35:02). There's a number of those businesses, our bars business, quite frankly. And we'll talk in the future about investments we're making in those to take advantage of that. We've got some other categories that aren't as (35.14). So like any other broad organization, we have some. So as we better allocate both our capital, better allocate our organization and our focus on those growth businesses, I think we can accelerate the share of private label that we take, right. How we swim maybe in the faster current, right? The good news, you're right. We are going with the current, right? We've got to put ourselves (35.43) faster streams. We have a very good (35.46) now. It's interesting (35.50) really is in the details. It's also by customer, category and by customer, and it's not – if you look at the macro data, you see growth, but there are customers growing and focusing on private label and others that aren't. And so part of the 2020 program and the Structure to Win program was to build the strategic customer teams, and I spoke in the opening remarks about how each one is different. We're putting teams together to put innovation where innovation makes sense, to put logistics where logistics makes sense, etcetera, on each one of those teams. So we have a little bit of work to do, but (36:30) reason I'm so excited about it.
Matthew J. Foulston - TreeHouse Foods, Inc.: Just to add a couple of things there. We really don't see material capacity coming online in any categories that I'm aware of, with the exception of single-serve beverage, and we talked about that a fair bit. And I would say that the dialog with some of our customers who have very aggressive growth plans is definitely pivoting to a concern about available profitable capacity, which we think is a huge positive.
Jonathan Feeney - Consumer Edge Research LLC: Thank you very much.
Operator: And next from JPMorgan we'll hear from Ken Goldman.
Kenneth B. Goldman - JPMorgan Securities LLC: Hi, thanks for taking the question. I have two questions (37:16). Steve, I wanted to get a better sense, it sounds like you are preparing (37:22) the Street for additional either SKU rationalizations or asset divestitures. Is there any way for us at this point to size the maximum potential of maybe some of the reductions to sales going forward? Or is it just too early to tell? And I guess my second question is, trying to get a better sense for how you're being so successful, is there any color you can provide on taking pricing right now because for you to have covered all of your inflation, including freight frankly is very (37:52) many of your peers out there are saying less pricing right now. And I know you can't reduce box sizes, you can't reduce trade, but I'm just trying to get a sense if you're doing something unusual with your negotiations. You're just being successful at a time when others aren't and I wanted to get your take on what you think that's the result of.
Steven Oakland - TreeHouse Foods, Inc.: Sure. Let me get the first one in, with regard to (38:16). I think it is just a little bit premature, but you would argue, I've been here for four months, aren't (38:23) there obvious things we could do. There is one – and I made a little bit about this in my prepared comments, but we're sequencing and pace of transformation here is going to be critical. And what I mean by that is to continue to stretch the organization but not overwhelm it. Okay. And if you think about just (38:44) progress as we talk, we've got TreeHouse 2020, so TMOS within that has restructured and transformed our complete operating system and culture across our plants. And that's where most of our people are. We're closing plants. We're moving lines. We're addressing a bunch of capacity issues. Structure to Win, brilliant (39:03) initiative across our entire G&A, okay and within that there are micro projects like accounting transformation, the entire go-to-market model has been reinvested (39:14). These are big moves. (39:17) SAP. And we're not taking SAP from one legacy platform to SAP. We're taking it from 13 legacy platforms to SAP. We'll close six of those by the end of this year. We divested the Soup and Infant Feeding business a year or so ago, so we've just wrapped up the TSA there. We've sold the McCann's business to B&G. We think that will be pretty clean, and they are a great partner. That business is going to be wonderful. So there's a lot, when I say that there is a lot going on here. So would I like to get out with this? Absolutely. Is that fair? And the only other thing I would suggest is the reason there was so much focus on customer service in my message is to send that to you (40:01) transparent to you all, but also to our customers and to our team. We have to accomplish all of this and continue to serve the customer because serving the customer in that relationship will be key. So there's a lot going on. I think it'd be (40:16) to talk about it. The fact that I feel comfortable doing it by the end of the year is really a testament to the organization. They can take all of that on. So that's where we'll be and why the timing is what the timing is. Your other question on pricing, I would suggest we've had great dialog with our customers on the fact that we are the supply chain for (40.40). We have not tried to price (40.43). We have not tried to price our changes. We've tried to price true commodities and true freight. And I think that dialog goes a lot different. Understand our margin structures (40:56), our relationship is transparent. And so, I think they've been receptive. Has it put categories out to bid? Absolutely. Has it exposed us where we need to do more work and where TMOS needs to really be effective? Absolutely. That's why a little bit of the top line softness (41:13). But it also gives us a very clear indication on what we need to do from a supply chain standpoint, where the real market price of these things are, and it has in some cases sort of rejiggered where we put our resources. I think that's probably the best way to articulate it. Matthew, I don't know if you have any other thoughts.
Matthew J. Foulston - TreeHouse Foods, Inc.: Well, I was up in front of our sales team just yesterday giving them a big thank you for a lot of hard work. I do think we got out ahead of this, and anecdotally we're sort of at the front of the line, which made it pretty uncomfortable in some parts, but as you've seen, sequentially, there has been a lot more dialog around price. I think the other thing (41:57) lived through a period of deflationary commodity. We've been engaged in a lot of fact based cost (42:05) dialog on the way down, so although it was less comfortable, it was a dialog that us and the customer were used to. It's just that commodities were moving in a different way, so I don't (42:16) think this was quite as new as (42:18). And, as Steve said, there's been some payback (42:22) and it did, to be fair, cost us in Q1 and to a lesser extent in Q2, as we pushed it through. So we're thrilled to be beyond it. We are very confident going in and that's what's driving a lot of (42:35) in the back half.
Kenneth B. Goldman - JPMorgan Securities LLC: Thank you.
Operator: Thank you. And our next question comes from Chris Growe with Stifel. Please go ahead.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Hi, good morning.
Steven Oakland - TreeHouse Foods, Inc.: Good morning, Chris.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Hi. Just had two questions for you, if I could. I wanted to be sure I'm clear on the – like the timing of the SKU rationalization activity in relation to the plant closures, I'm just curious. Does the plant closures (43:05) more closely kind of associate with the SKU rationalization in the second half of the year? Related to that, the third quarter requires a bit of deceleration (43:35) in the sales decline. Is that just the SKU rationalization activity that's occurring in the second half of the year?
Steven Oakland - TreeHouse Foods, Inc.: (43:24) But the plant closures are really (43:31) from the SKU rationalization. I would suggest there is a (43:35) there. But, generally, the SKU rationalization, if you (43:39) go back and look at the tail of our business, and the complexity to allow us to launch TMOS. By taking almost a third of our SKUs, 27-some-percent, 30% of our SKUs out of our system, it allows you to bring sophisticated operating process to your plants. It allows you to free capacity for those (43:59) customers where we know we can (44:02) we can bring value, and we can bring growth. The SKU rationalization really just allowed us to be much more sophisticated. It cleaned up the environment. The plant closures are addressing overhead, and not all of our categories are created equal. Not all of our equipment is created equally. And, quite frankly, we had too much overhead in businesses (44:27), and we needed to get that out of the system.
Matthew J. Foulston - TreeHouse Foods, Inc.: On the sales decline, I think you should think about SKU (44:35) second half being broadly similar to the first half, so you won't see a big uptick there. What it really comes down to, the biggest chunk by far, and I mentioned it briefly in my prepared remarks, is the loss of a fairly sizable chunk of low margin business in the Snacks division. That's the biggest driver of what you see dropping off in the back half compared to the first.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Okay. That's helpful. Yeah.
Steven Oakland - TreeHouse Foods, Inc.: You'll see a few of those as we go (45:04). The margin management culture will make us much more disciplined (45:11) that capacity for higher profit capabilities, right? Higher profit opportunities. So there may be a few things that we weed out as we get better.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Okay. And just one quick one on the inflation overall, is this a good run rate for inflation on, like, freight costs and input costs for the (45:30) year?
Matthew J. Foulston - TreeHouse Foods, Inc.: I would definitely break those two into two pieces. We do see some commodity inflation (45:41) ahead of us for 2019 in select categories. I would say it is significantly less across the portfolio of commodities we buy (45:51) than it was going into 2018. We also see continued freight inflation everywhere, like everyone. We're working hard to mitigate it, and we talked a lot about the work we've done with our RFP and secondary and tertiary carriers, and a pretty significant improvement. I think our spot market usage in the second quarter was down about 20% from the first. So we really like the operational actions we're putting in place to mitigate this. But make no mistake, I think freight is going to go up for the foreseeable future.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc.: Okay. Thank you for your time.
Operator: Next from Wolfe Research, we'll hear from Scott Mushkin.
Scott A. Mushkin - Wolfe Research LLC: Hi, guys. Thanks for taking my questions. So I guess I wanted to poke at the volume losses that you're seeing and it's hard for me not to look at some of the slides, 11 through 14, and not say, hey, you've taken price, but you really kind of taken it on the chin, losing some accounts and some volumes. And I'm just trying to understand will that (46:58) be wrong with that thought? And maybe even a little bit more details on what's going on in that (47:03) business where I think you guys lack competition. Thanks.
Matthew J. Foulston - TreeHouse Foods, Inc.: Yeah, let me start off and then Steve can leap in. As I said, I'm fairly convinced we were the (47:16) banging on the door with pricing. And in our case, pretty much all categories, all customers, given the inflation we faced. And I think, as mentioned earlier, taking pricing on the back in some cases where your service levels weren't where they needed to be, met with some pretty difficult discussions, and we paid the price in certain areas. What we're finding as we go through this is that some of those people that won that business are really struggling to pick it up, and were actually continuing longer with those contracts than planned which, I think, is testament to the different (47:52). The scale and capability we bring and some (47:56). And, in fact, we're also seeing some of that already come back to us. So, it's difficult to (48:03) how much of this is transitory, and how much was a little bit of punishment for being first out of the gate. But there is no doubt in my mind, from a P&L perspective, we had to get out in price and it was the (48:14) to do.
Steven Oakland - TreeHouse Foods, Inc.: And I would also say. I made this (48:18) a moment ago. But it has helped us understand market (48:22), and where are we efficient, where aren't we? And where do we need to invest both time and capital and (48:29)? So I think we have a better look at the competitive set where the capacity is by category, and where we need to get better, frankly. (48:41) brood-based (48:43) for us, and that's really focused our resources, (48:47) we picked for the projects we're working, there's no secret why we picked those plants, right? They are the places where we have the biggest opportunity (48:53).
Scott A. Mushkin - Wolfe Research LLC: As a quick follow-up, I would like to talk about the Condiments area. What we've been seeing out of retail is some pretty aggressive pricing in the barbecue season for a lot of condiments, I know you guys are playing in those markets. Can you just give us some insight into who is footing that bill? Or is that business traded away from you guys, and people are letting the retailers price it so much lower? And thanks. I'll yield.
Steven Oakland - TreeHouse Foods, Inc.: I would suggest Condiments might be one that's visible (49:28) several in our system where pricing has been very aggressive. There's no secret that there's a little bit of a price war on the East Coast of the United States. There's some hard discount stuff starting there that several customers are trying to (49:47). And we're not funding that. There's some very aggressive pricing both in private label and I know in brand in some of those markets. We're (49:57) retailer. In some (49:58), it's changed our volume dramatically. So we're (50:02) with those retailers who were involved in that. But there is very aggressive pricing in certain markets in the United States right now. So, and again, I think that's the retailer's strategy. That's them positioning themselves competitively against both new and existing entrants. And we're just trying to stay close to them to make sure we stay on top of that, and have the capacity and the product where they need it, when they need it because it does (50:31) volumes dramatically.
Scott A. Mushkin - Wolfe Research LLC: Thanks, guys.
Steven Oakland - TreeHouse Foods, Inc.: Yeah.
Operator: We'll now hear from Robert Moskow with Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC: Hi, thank you. I guess getting back to the freight question. When you say you have good visibility that your pricing that you've put in place can cover your freight costs in the back half, well, why isn't it covering it in the first half, I guess? It's not like you are introducing new pricing in the back half. And then, if we can kind of fast forward into 2019, do you expect to have to do this again? Do you expect to have to raise prices again in order to try to offset freight? Thanks.
Matthew J. Foulston - TreeHouse Foods, Inc.: That's good question, Rob. One of the things that we've talked about before is the timing with which we approached our customers. And that started, I would say, middle of Q4. And depending on the division and the category (51:38) its way out in dialog all the way through Q1 and Q2. As you know, there's this standard of at least a 60-day delay so that the customer can realign their setup and manage the change in price. So, we (51:59) on Jan 1, and if we had have been, it would have been 60 days (52:01) hit the P&L. So it was this staggered approach, the lag that ended up with (52:09) both on commodity and freight, in the first half. As I mentioned in response to one of the questions just a second ago, we are seeing some commodity inflation that we think is going to be out there. Bear in mind, we're still in August, and we've got next year. There's a lot of months and a lot of market activity still to come, but we are seeing signs of commodities in selected areas, and we're seeing freight across the board. So that's something we need to think about and, certainly, we're cognizant of (52:45) for the timing this year, and we'll obviously try and get out earlier – as early as we possibly can (52:52) markets clear.
Steven Oakland - TreeHouse Foods, Inc.: I would also say our business is a series of variable length contracts. Some of the retailers are on an automatic annual bid. Some of them are on other time cycles. So the good news in ours is the (53:12) macro issue, it's not a TreeHouse issue, and so if that needs to be in it, all of those annual bid customers (53:19) for annual bid cycle, those other cycles. So our business comes up pretty regularly, or much of it does, and so I think we will have the opportunity to price in the contract season, outside of the contract season and over the next year. This year was particularly difficult just because of the magnitude and the fact that it was across the board, and I think there was an attempt to work with (53:44). Some things went out to bid, and the bids – most of them came our way, some of them didn't, you see in some of those volume losses, and that also suggest (53:59) pricing for freight is real. So we'll be managing it with the retailer. We're going to try to do it as partners with the retailer this time.
Matthew J. Foulston - TreeHouse Foods, Inc.: I think we've some good examples just recently where that started working where because of the network the retailer is running versus the network we're in, they've naturally got empty back-hauls, and we've gone from some delivered to customer pickup, taken cost out of the supply chain. So I think that kind of activity is where we're going to have to take the dialog and optimize the whole supply chain not a (54:29) piece of it.
Steven Oakland - TreeHouse Foods, Inc.: Yeah.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Operator: And now we'll hear from Farha Aslam with Stephens.
Farha Aslam - Stephens, Inc.: Hi, good morning.
Steven Oakland - TreeHouse Foods, Inc.: Good morning, Farha.
Farha Aslam - Stephens, Inc.: I have a question about Pecatonica. Could you share with us who has been producing the product for you? Do you have to (55:51) customers, just kind of how that ramp schedule goes?
Matthew J. Foulston - TreeHouse Foods, Inc.: Yeah, that's been a brood-based impact, not just a cost impact. So we've struggled on the cost side, as we mentioned in the remarks. It's been tough in this tight labor market, especially around certain skilled trades where there's just a shortage of good people that we can get to come join us. So we've struggled with getting that full (55:24) it's resulted in two things. One is cost (55:28), and the other thing is some customer accounts reloaded to the extent we possibly can, (55:35) in that network, but we haven't managed to fully offset it. So we've seen that impact in both the top line and the cost. We're making progress. Every day, we have a call on the manning there. We know what the gap was when we started. I'd say we've made terrific progress. We're probably close to getting the manning where it needs to be. We then got to get the plan operating, so there is going to be a bit of a drag in second half, but we think without a doubt, we'll be done by year-end and have this business back where it needs to be.
Steven Oakland - TreeHouse Foods, Inc.: Yeah. So, Farha, what we did, we loaded the other two plants and we moved volume around. We had temporary workers in the facility which performed at a fraction of the normal operating performance at Pecatonica. We (56:23) the other plants. That business is a combination of both private label and industrial ingredient. We stepped out of some of that industrial ingredient business. All in all, it was tough. We welcomed those folks back to work. We now, we think we have a labor agreement (56:43) better reflects the changes in the (56:46) and will allow us to position the business more closely aligned to (56:54) are. So it was expensive. It was difficult on all parties, but I think long term – I'm just most pleased that we're able to (57:05) guidance. So the rest of the teams (57:08) and found ways to cover that cost. So that's the resilience that I'm most impressed with.
Farha Aslam - Stephens, Inc.: That's helpful. Thank you.
Operator: And next, we'll hear from Steve Strycula with UBS.
Steven Strycula - UBS Securities LLC: Hi, good morning. Two parts, the first would be, if you could walk us through, Steve, a little bit of rationalization. Should we expect – it sounds like it should be a little bit more acute in the back half relative to the front half, and when should we expect that to fully, kind of, wrap into the baseline of the business. It feels like that might be Q2 of next year. But any guidance there would be super helpful. And then a higher level question for you on customer feedback. I know you have been traveling the country meeting with a lot of your largest retailers. What has been the most candid conversation that you've had with them in terms of how can TreeHouse really improve and gain share of wallet, relative to what they've done the last two or three years? And what are one or two things that are needle moving that you can do to kind of interchange (58:16) and really capitalize on the opportunity? Thanks.
Unknown Speaker: Sure. I will interchange (58:21) this question, and Matthew can chime in as well. The SKU rationalization, I think, should be pretty much through the system by year end. And they started that process and identified them all in the previous year; they executed them in the first and second quarters. Sometimes when you stop making something, and we (58:38) let the inventories run out, packaging run out, all that stuff. So it's sort of been evenly spread quarter-to-quarter throughout this year. So that will be behind us. There will be some conscience pruning of the portfolio both existing business and future business as we go forward as contracts come up to better align capacity with where we think the real opportunities are. With regard to the interchange (59:07), I think if I have the obligation to bring a big transformation to TreeHouse, I needed to do a couple of fundamental things, and I had a chance early on to talk to you all, to talk to the investor, and I've been both with the organization (59:24) and I've been with our largest shareholders personally. I had a chance to go to our top customers. And I went to more than the top customers, I went to the large customers, I also went to what I'd call the super-regionals, right. I met the hard discounters. I got a interchange (59:39) look at private label that's a little deeper. What's their strategy? What do they need from us? I heard loud and clear, fill the order, damn it, right. And so that was pretty clear. And so that's why that's so transparent in my comments to-date. So we're working really hard on that and I'm pleased with the process there. So we have to fill the order, and then understand their strategy and align our resources. And the hard discounters and the value retailer have the supply chain as tight as possible. In the experiential retailer, we have to have innovation. We have to have new products. We have to bring them those things. The good news is we have all of that, we've just not applied as selectively as we will in the future. And then be in the right place, right, and really understand why they're going to focus. And so the strategy going forward will be to put us in a position to leverage that, and to understand where we think private label of the future is. There will be an e-commerce component. Obviously, there will be a traditional component, there'll be a natural and organic component. So how we balance those things, how we position each one of our divisions to participate in the best parts of those categories is the focus going forward.
Steven Strycula - UBS Securities LLC: Thank you.
Operator: And Amit Sharma from BMO Capital Markets is next.
Amit Sharma - BMO Capital Markets (United States): Hi, good morning, everyone.
Steven Oakland - TreeHouse Foods, Inc.: Amit, (01:01:07).
Amit Sharma - BMO Capital Markets (United States): Steve, a question to you, when we look at measured channel pricing data for private label, there is a large variance in what you are reporting and what data we're seeing. Is that just a function of your customer base or are your private label competitors haven't really fully caught up with the pricing yet?
Steven Oakland - TreeHouse Foods, Inc.: I think retail pricing data is very difficult right now. We talked about – it all depends on where that data is being picked up. How much that retailer does on the East Coast of the United States right now. Because you'll see pricing across the country (01:01:45) bottle of salad dressing for example that will vary more than a dollar. Okay, you'll see pricing in the eastern half of the United States that will vary within a dollar. And this is on a unit sales per dollar. So you'll see salad dressing at $1, and you'll see it at $2. So I think it's hard to take the IRI or Nielsen pricing data (01:02:09) our sales (01:02:10). There's some pretty (01:02:13) stuff going on right now. And it depends on how that's...
Amit Sharma - BMO Capital Markets (United States): And one quick one for Matthew. Matthew, how much incentive comp headwind is going to come in the second half?
Matthew J. Foulston - TreeHouse Foods, Inc.: Most of the incentive comp headwind is going to come in the back half of the year. As we went through the year last year, our performance (01:02:37) down, and we were releasing accrual (01:02:39) set out in the second half, so that's where we've got the most difficult beat, and it's probably $8 million to $10 million a quarter in the Q3 and Q4.
Amit Sharma - BMO Capital Markets (United States): Got it. Thanks so much.
Operator: And next, we'll hear from John Baumgartner with Wells Fargo.
John Joseph Baumgartner - Wells Fargo Securities LLC: Good morning. Thanks for the question.
Steven Oakland - TreeHouse Foods, Inc.: Hi, John.
John Joseph Baumgartner - Wells Fargo Securities LLC: Steve, I wanted to come back to the Snacks business. When we see the pricing net of commodities was positive and that new volume essentially offset the impact of the SKU rationalization, but margins are still down, it feels like the complexion of the business is really changing from a mix perspective. So how do you think about the ability to rebuild profitability in that segment, and I guess what needs to happen to rebuild the mix?
Steven Oakland - TreeHouse Foods, Inc.: I would suggest that the Snacks business is getting tremendous amount of attention and effort from us. And I think we understand that the business (01:03:42) the business we're running are very different, and I'm not sure that we put the right operating model in place (01:03:49). I think there's a big (01:03:53) within Snacks between trail mix, between nuts, between all of these different things. You've got to be innovation focused. You've got to be very close to your customer, to your cost structure. So the work we're doing with that organization (01:04:08) give them a lot of credit to better position ourselves. The other thing that is going (01:04:13) that isn't fair to do it is the bars thing that Matthew talked about. Quite frankly, the bars business is on fire, and what I mean by that in a good way. We are oversold in bars, and we are scrambling and I hate to use that term because that's not fair to the amount of work and the professionalism going on to position ourselves to make more bars. So the (01:04:36) business has a lot of complexity to it. The (01:04:40) maybe painted it with the numbers that we think are great investments in the future, and I would make them in a heartbeat, but leave it to say that we think the Snacks business is a great business. It's going to take a lot of work and maybe a little bit different operating model than what we have today, and we're working hard to get us there.
John Joseph Baumgartner - Wells Fargo Securities LLC: I guess this is premature, given your review that's ongoing, but – I mean, think about I guess the ultimate margin structure here (01:05:09). Can you get back to the high water marks of 2015? Is this more of a mid-single digit business going forward? What's the right way to think about it?
Steven Oakland - TreeHouse Foods, Inc.: Again, I think it depends on how we do in each one of those categories. I think bars is a great business. There's a lot of high-value add. These new high protein, high particulate bars are very high value bars, and there is a lot of opportunity in that. And I think if you get the trail mix business right as a mix within Snacks, you can go to historic margins. So I think the historic margins are very doable, but we've learned – we've put two very different businesses together ConAgra Private Brands nut business and the flagship (01:05:51) business. And getting the operating model right is going to be key to do that. And I would suggest we haven't quite got there yet, but I think we have a line of sight on how to get there.
John Joseph Baumgartner - Wells Fargo Securities LLC: Great. Thank you, Steve.
Operator: And now from SIG Financial (sic) [SIG] (01:06:08) we'll hear from Pablo Zuanic.
Pablo Zuanic - SIG: Thank (01:06:13) questions. Steve, one as you met with customers and analyze by (01:06:15) retailers, even categories, but how is their attitude towards private label evolving? Are they more focusing on trying to bring a lower price to compete with hard discounters? Are they trying to introduce tiers? I mean, we talked normally about (01:06:30) issues, but talk more about how do they (01:06:35) private label. I see Walmart, they have (01:06:39) introduced very premium Pure Balance pet food. If you can comment on that. And again, I know it's hard to generalize. And the second question very briefly, in the press release, you talk about trying to find ways to unleash the power of scale. I mean, from our perspective, whether it's branded or private label, it's about your scale within the category, right? There doesn't seem to be a big (01:06:58) in being in every aisle whether it's branded or private label. And maybe the complexity that results from having so many (01:07:06) it actually worsens the cost picture, so if you can talk about that? Thanks.
Steven Oakland - TreeHouse Foods, Inc.: Yeah, certainly. Thanks. Well, I'd say two things, and I tried to talk about that in the prepared remarks. The thing that's obvious to me on your first question is, it really varies by retailer. And if you go across the country and you look at the super-regionals, who've learned to compete in the hyper – as the supercenter concept went national and as grocery evolved the last time. The super-regionals did it on experience, right. And so the retailers are asking a very different question for TreeHouse. They are asking us for our innovation organization (01:07:41). They're asking us for custom, they're asking us for very different things. Some of the hard discounters and the large (01:07:48) are looking for price point. In some cases, they're 100% private label. In other cases, they're (01:07:56) label. So, the conversation is so unique. And that's the importance of the operating model that we just (01:08:03) with the Strategic Account Manager. So we're putting teams, which is a pretty (01:08:09) right? Every other CPG organization does this. But we're putting teams on all these customers. And, quite frankly, on those that want value, I mean, it's the logistics team, it's all of those folks that help there. On the experiential, on the super-regional guys, and you know who they are. We don't like to talk specifically about each retailer that we do business with, but they want innovation. They want experience. And so, we're building teams differently. We're bringing different things to market there. And that's where breadth helps. That's where scale helps. (01:08:42) a smaller vendor can bring across a number of categories of similar position. I would also argue, where scale is going to help us in the long term is our distribution network. And I've talked a lot about that. It's (01:08:57) cumbersome today because it's the accumulation of all these acquisitions. Our team, that will be (01:09:02) of our supply chain structural initiatives, is to consolidate our distribution network, to get it from some 119 locations to, say, 70 or less. And once we have the product close to the customer, once the customer can pick up or be delivered, multiple items on one invoice, that's when we begin to bring scale to this. Everyone is trying to drive cost out, everyone is trying to drive inventory (01:09:30) out. If you've got a different vendor for every category, you can't do that. So, I think that we have yet to do it, but it's going to come on the logistics side, and I think the freight cost environment is just going to make that much more attractive to the retailer.
Pablo Zuanic - SIG: Thank you.
Operator: And next from Jefferies, we'll hear from Akshay Jagdale. Please go ahead.
Akshay Jagdale - Jefferies LLC: Hey, thanks for taking the question. I (01:10:00) ask about the implied 4Q guidance. It implies about a couple hundred basis point improvement sequentially in margins from 3Q. The business has become more and more seasonal (01:10:15). Can you help us bridge that gap between 3Q and 4Q (01:10:23) at least the controllable (01:10:25), right? Is the cost structure going to be materially (01:10:31) or is a lot of that just seasonality? I look back historically, I mean, seasonality maybe is 150 bps, but it seems like this year you're heading for a little bit more of that.
Matthew J. Foulston - TreeHouse Foods, Inc.: No, that's a good question. And when I look at Q4 over Q3 and the improvement we need, it is about 50/50 traditional seasonality, and 50/50 cost improvements. And we will see renewed (01:11:00) momentum with TMOS and TreeHouse 2020, and the impact of some of these plant closures where we're lapping periods where we still have plants in the network. There's some cost work to do. When you look sequentially, we'll see the impact of Pecatonica, the drag decline as we get into the last quarter of the year. And I feel pretty good about the balance of the half and the way we've got it set up from a seasonality perspective.
Akshay Jagdale - Jefferies LLC: Got it. That's helpful. And just one for Steve, I know you're (01:11:39) on next steps in terms (01:11:43). At a high level, I mean, even if you look at TreeHouse 2020, other companies (01:11:49), ones that obviously you've worked at as well, have done a better job, I would say, over the years of quantifying sort of gross and net savings when they were given out long-term margin target. Is that something that we can expect, do you think, from TreeHouse? Is the business model (01:12:11) enough to warrant (01:12:15) communication? And any high level thoughts on sort of – you've mentioned in your meetings that the strategy portion that you really want to (01:12:26) is about top line growth. But any other thoughts there, as you've been in the job longer, would be helpful. Thanks a lot.
Steven Oakland - TreeHouse Foods, Inc.: Sure, Akshay. I (01:12:38) expect us to bring metrics out. What do we think this business can do over the strategic timeframe? What should you expect (01:12:46) standpoint, what would M&A do? How will that role differ from what it's been before? So, I'm resisting the temptation to share more (01:12:57), but we're working on those things, and I think we owe you metrics with a little more detail. This business may have a little more ambiguity to it just because of the nature of the – the private label nature that we don't own the brands, we don't own the launch cycles, we don't own all those things. So maybe it's a little more difficult for some of the detail. I think we will bring you a strategic road map (01:13:21) today, where we want to go, what the metrics look like (01:13:24).
Akshay Jagdale - Jefferies LLC: Sounds good. Thank you.
Operator: And with SunTrust, we'll hear from Bill Chappell.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Thanks, good morning. Hey, Steve, sorry, I may have missed this. But in terms of refining the portfolio, I guess I would have thought it would have happened a little bit faster and maybe more than just kind of one relatively small deal so far. As you've spent the past four or five months looking at the portfolio, has there been any change in your view in terms of accelerating or pulling back, or versus kind of the initial take, and would you expect the pace – if it's accelerated of refining to accelerate between now and year end?
Steven Oakland - TreeHouse Foods, Inc.: I would expect – yeah, I hope we can bring (01:14:19) look at it, and we'll be working on it when we bring that forward. So I think it – would I like to move faster? Absolutely. Is it fair to this organization to pour more on it in this moment? If you think about bringing out a strategy that may have some significant portfolio restructure on top of all the things we're doing today, I'm concerned that we won't be able to serve the customer at the level that we need to, and that's going to compound our challenge. The sequencing of this is critical. It's obvious that we have some great opportunities and again I'll just repeat what I said earlier, the fact that I think we can do it in the first year with everything else we have going on makes me feel good. But it's not my lack of enthusiasm that's holding it back, it's really the idea that we need to be both public and private with it at the right moment.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Got it. Thank you.
Operator: That concludes today's question and answer session. Mr. Oakland, at this time, I will turn the conference back to you for any additional or closing remarks.
Steven Oakland - TreeHouse Foods, Inc.: Yes, I just again would like to say thank you to everybody that was on the call with us today. And I'd like to reach out to our organization, I think we are working really hard, and (01:15:39) something special, and I'm really proud of them. I'm glad they had this kind of quarter, and I hope we can (01:15:46) and have this kind of year. So we feel really good about it, and I want to thank them, and thank you all. Have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.